Operator: Good morning, ladies and gentlemen, and welcome to the Full Year 2020 Results Call of ProSiebenSat.1 Media SE. This conference is being recorded. Today's call is hosted by Mr. Dirk Voigtländer. Please go ahead, sir.
Dirk Voigtländer: Good morning, ladies and gentlemen, and welcome to our full year 2020 results conference call. As always, today's call will be hosted by Rainer Beaujean, Chairman of the Executive Board and Group CFO; as well as Ralf Gierig, Deputy CFO of the group. Rainer and Ralf will first walk you through the operational performance and the group's financial results for the fourth quarter as well as the full year 2020, respectively. In addition to that, Rainer will provide an update regarding the group's strategy as well as the resegmentation, which has been announced today. The presentation will be followed by a Q&A session.  Besides the financial documents regarding full year 2020, we have also made backups for the new segment structure available on our website under the section Investor Relations and Results. We would therefore kindly ask you to primarily focus on questions regarding the performance and outlook of the group in today's Q&A session. The IR team will, of course, be available to answer any other questions regarding the resegmentation post this call.  With these opening remarks, I now hand over to Rainer.
Rainer Beaujean: Good morning also from my side. And welcome to our analyst and investor call on the occasion of our 2020 full year results.  ProSiebenSat.1 is a strongly diversified media company. As such, we go through this pandemic year better than many of our competitors.  Despite the challenging macroeconomic situation throughout the year, we were able to end 2020 on a positive note. Our market capitalization and share price were developing positively. And we have laid important strategic foundations that will help us to leverage more synergies to grow sustainably in all segments, and thus to create value now and in the future.  Let's have a look at today's agenda. We will start with an operational review of the year 2020 before we cover our group financials. We will also give you a strategy update and finish the presentation with our 2021 outlook and the dividend proposal.  Let's jump right into it on Slide 3. First, 2020 was a year to remember for ProSiebenSat.1. We have started the year well. Then in March, like everyone else, we were hit by the COVID-19 pandemic, which turned out to become the worst economic crisis since the postwar period.  Second, on March 26, the Supervisory Board decided to realign our company both in terms of personnel and strategy. Together with my Executive Board colleagues, Christine Scheffler and Wolfgang Link, we took over the management of the group. Since then, we have been guiding ProSiebenSat.1 safely through this crisis and setting up a clear road map for our company.  Third, the COVID-19 effects impacted our business, especially in the second quarter. As an early cycle company, we however profited from the economic recovery as of the third quarter and were able to record a very strong fourth quarter. This is why we exceeded our full year guidance that we had published in the course of our Q3 reporting. We achieved almost stable full year group revenues of €4.047 billion and an adjusted EBITDA of €706 million. At the same time, we reduced our net debt by €277 million.  Fourth, on the operational side, we proved our entertainment strength with our focus on relevant local and live programs. Our newly setup Seven.One Entertainment Group convinced amongst the competition and catered people's need for distraction and information at its best in times of social distancing.  Fifth, we are concentrating on driving our diversification and leveraging our synergies. This is also the reason why we set up ProSiebenSat.1 as of January 1, 2021, around 3 strong pillars, Entertainment, Dating and Commerce & Ventures, are our foundation for future value creation. We will cover this later in detail.  Sixth, at the same time, we made good progress on our active portfolio management. This includes value-creating acquisitions such as the acquisition of The Meet Group. The newly formed ParshipMeet Group is now core of our strategy as a leading global player in the dating business.  Next to acquisitions, our portfolio strategy also includes disposals if we are able to generate significant value for the group and if we are no longer the best owner. This was the case in 2020 with the hosting solution provider Myloc, and the OTC company, WindStar Medical.  Let's dive a bit deeper into our operational highlights. On Slide 4, you can see that our entertainment focus on relevant local and live content clearly paid off in 2020. In total, our content reached 2% more daily net viewers on average. On linear TV, our channels, ProSieben and SAT.1, were the only 2 major private stations to increase their market shares in prime time, the most relevant slot for advertisers. We saw outstanding entertainment such as the Masked Singer, public value highlights like Thilo Mischke's political reports, or just recently, our NFL Super Bowl coverage. The latter achieved a record-breaking average market share of almost 58% within our main target group. In the digital space, our streaming platform, Joyn, recorded an increase of almost 30% in unique users in the fourth quarter compared to the previous year. You will see on the next slide how we were able to monetize this development.  With eyes set on the future, we also took advantage of the high media usage during lockdown in order to grow our database. Since April, our content offerings on our TV channel websites as well as platforms such as Joyn have only been accessible after a onetime registration. In a midterm perspective, this will improve our targeted advertising offerings, and thus turn data into earnings.  Next to advertising as our major revenue stream, the distribution business is another important and highly profitable backbone for our business. Fueled by 6% HD subscriber growth, distribution revenues grew by 9% in the full year 2020. Our strong positioning in the market is a very good basis for negotiations with third-party platforms and led to new deals.  Moving on to Slide 5. As already highlighted at the beginning, our business recovered gradually after a strong hit in Q2, especially influenced by the development of our advertising revenues. Advertisers had cut their budgets due to the COVID-19 restrictions. But with the economy brightening as of summer, our advertising revenues recovered as well as even increased in the fourth quarter, traditionally, our most important quarter, by 3% compared to the previous year. In other words, we experienced a classic V-shape recovery. This development was supported by our strong content offering. Even with strict cost measures in place as of spring, we continued to invest in our program, unlike many competitors. Together with our viewers' increased demand for entertainment and information, this led to a rise of our total video view time, thus the minutes watched at all of our platforms, by 0.8%.  Let's turn to Slide 6. The formation of ParshipMeet Group was a milestone in our strategic journey. By combining our Parship Group with the U.S.-based The Meet Group, we have created a leading global player in the dating market. Overall, we expect ParshipMeet Group to significantly support the diversification of our revenues and earnings.  Looking at the pro forma figures. €522 million pro forma revenues and €116 million pro forma adjusted EBITDA already gives a good impression of what to expect from this company in the future. The new group covers the entire spectrum of the dating market: meet, date, love, to services from casual dating and social entertainment, to serious online matchmaking. These markets are fast-growing and very profitable and not just because of the COVID-19 pandemic. Plus, the group has a highly diversified revenue model comprising long-term and short-term subscriptions, platform services, as well as revenues from advertising and in-app purchases. And with The Meet Group's video streaming expertise, our dating business now also taps into the highly growing live video market. To sum it up, this is the classic platform business, very scalable and with a strong entertainment aspect that opens great cooperation opportunities with the entertainment segment of ProSiebenSat.1.  On the next slide, you see a quick recap of our most important portfolio effort of last year. As we consistently analyze our portfolio to see if all companies still contribute to our group strategy and if we are still the best respective owner, we also have the option to divest the company. This was the case with WindStar Medical. In December, we sold NuCom Group's entire 92% stake in this leading provider of health care products to the financial investor, Oakley Capital. Within 4 years, we significantly grew its brand's awareness through advertising on our platforms and expanded its market position considerably. Fueled with our media power, WindStar's enterprise value increased by 2.4x in this time. This is an impressive development and underlines the added value that we can generate through synergies with our entertainment business.  On Slide 8, you can see another example of our value creation. In 2012, our investment unit SevenVentures secured a minority share in Flaconi through a media for equity deal. Since then, we subsequently expanded our stake and transformed the brand into the leading online shop for beauty products in Germany. Since ProSiebenSat.1 has been the majority owner of Flaconi, the company has increased its revenues by more than 8x. In 2020 alone, we grew revenues by an outstanding plus of 48%, another strong proof of the brand building and value-creating power of TV. The shift in shopping habits from offline to online is additionally driving Flaconi's success. The company attracted more than 1.4 million new customers in the past year. And the future potential is high. The online share of the beauty market in Germany is only at around 10%, and Flaconi has proven its ability to internationalize by entering Austria and also markets outside the German-speaking region, such as Poland, both leaving plenty of room for growth.  With this, let me now hand over to our Deputy CFO, Ralf Gierig, who will guide you through our group financials for the full year of 2020 and the very successful fourth quarter.
Ralf Gierig: Thank you, Rainer, and good morning also from my side. I would like to continue with a review of the group's financial performance in financial year 2020. Let me first start with comments about the revenue performance of the group as well as our 4 segments on Page 10.  We are very satisfied with the strong recovery of group revenues in the fourth quarter, with an increase of plus 11% on a reported as well as plus 6% on a portfolio and currency-adjusted basis. This development was driven by all 4 segments with the biggest revenue contributions coming from ParshipMeet Group, followed by Red Arrow Studios and the NuCom Group. Also, thanks to the very satisfactorily growing advertising revenues at year-end, group revenues only fell 2% to €4.05 billion last year.  Looking at the mix. Entertainment revenues declined 9% in financial year 2020, but returned to growth of 2% in the fourth quarter due to before-mentioned advertising recovery ahead of Christmas. In the fourth quarter, Seven.One Entertainment Group posted growth of 3% in total advertising and 12% in distribution revenues, respectively. For the full year, advertising and distribution revenues came in with minus 10% and plus 9%, respectively.  ParshipMeet Group achieved revenue growth of 59% to €333 million in financial year 2020, of which €102 million resulted from the first-time consolidation of The Meet Group. On an organic basis, the business grew 11% to €231 million. It is worth noting that pro forma revenues of the combined ParshipMeet Group amounted to €522 million, which is an increase by about 31% compared to financial year 2019 on a like-for-like basis. This pro forma revenue growth was strongly supported by the dynamic growth of the acquired The Meet Group with an increase by about 54% in full year 2020.  The NuCom Group grew 7% on a reported and 6% on an organic basis. While revenues of the consumer advice and experience businesses have partly been negatively affected by the COVID-19 pandemic, and therefore, each fell 13% last year, the beauty and lifestyle vertical could more than compensate this development with a strong growth of 23%.  As Rainer has already mentioned, we also successfully concluded the disposal of our 92% stake in WindStar at the beginning of December 2020. Revenues of WindStar have therefore been only recognized until the end of November last year.  Red Arrow Studios achieved revenues in the amount of €620 million, which means a decline by 5% on a reported and 3% on a portfolio and currency-adjusted basis. Thanks to a strong increase in the fourth quarter by 14%, largely COVID-19-related decline in the first 9 months could therefore be offset to a meaningful extent.  Let me now continue on Page 11 with the review of the adjusted EBITDA development. As you can see on this slide, we were able to at least partly compensate the pronounced COVID-19-related adjusted EBITDA decline in the first 9 months in the fourth quarter with an increase by 12% or €39 million to €377 million. As a result, full year 2020 adjusted EBITDA reached €706 million on group level, which represents a decline of 19% compared to the prior year. The fact that adjusted EBITDA fell more than group revenues has been the result of a different mix, with a lower share of the advertising business and an increased share of other non-advertising businesses, such as the NuCom Group. The COVID-19 pandemic's impact on advertising revenues also affected Seven.One Entertainment's adjusted EBITDA, which decreased 28% to €571 million in financial year 2020.  On the other hand, the strong organic revenue growth as well as first-time consolidation of The Meet Group led to an increase of ParshipMeet Group's adjusted EBITDA by 81% or €36 million to €80 million. On a pro forma basis, i.e., including The Meet Group for the full year 2020, adjusted EBITDA of ParshipMeet Group would have reached €116 million. NuCom Group's profitability, in particular, reflects the impact of the COVID-19 pandemic on our high-margin car rental platform, billiger-mietwagen. This being said, almost all of the reported decline in adjusted EBITDA can be attributed to the earnings decline of this asset as well as the deconsolidation of WindStar at year-end 2020.  Last but not least, I would like to comment on Red Arrow Studios as well as the reconciliation result. Red Arrow Studios' adjusted EBITDA declined by 13%. The reconciliation result improved notably by €43 million, mainly as a result of a new holding setup as well as related cost reductions.  Please turn to Page 12. Both adjusted net income development as well as the free cash flow before M&A mirror the before-mentioned COVID-19-related decline in adjusted EBITDA in financial year 2020, with a reduction by 43% to €221 million and 31% to €235 million, respectively. At the same time, EBIT only fell 4% or €26 million to €553 million, which is partly resulting from capital gains from the disposal of WindStar and myLoc. As always, such one-off valuation effects are excluded from the adjusted net income.  Let me now continue with comments about the net debt development on Page 13. Given before-mentioned positive free cash flow before M&A of €235 million as well as net cash proceeds resulting from M&A, we were able to reduce the group's net debt by €277 billion to €1.968 billion. Net debt also benefited from the suspension of dividend payments in 2020. As you will recall, the decision regarding the dividend was taken in April of last year against the backdrop of the uncertain outlook because of the COVID-19 pandemic. For this reason, financial leverage increased only slightly from 2.6x at the end of 2019 to 2.8x at the end of financial year 2020, despite the decline in adjusted EBITDA, particularly in Q2 2020. Given its strong cash position of €1.224 billion at the end of 2020, the group also made use of a 3-month early redemption call according to the terms and conditions of the notes and prepaid the €600 million senior notes outstanding at nominal value already on January 15, 2021, i.e., 3 months ahead of the stated maturity date in mid-April 2021. As a result, the group's gross debt position was reduced from €3.2 billion to currently €2.6 billion.  With this, I now hand back to Rainer, who will provide an update on our group strategy, the outlook for this year and the dividend proposal for financial year 2020. Thank you.
Rainer Beaujean: Thank you, Ralf. The past year was another proof of how important a well-diversified yet synergistic business setup is for ProSiebenSat.1. While the COVID-19 pandemic especially affected the Seven.One Entertainment Group, Red Arrow Studios and some parts of NuCom Group, we benefited from our resilient commerce and dating activities. Our diversification strategy that we have been driving since years clearly paid off in this challenging year. Today, only 48% of our revenues are advertising related. Back in 2010, this share was at 85%. At the same time, group revenues increased by over 50% in these 10 years. We are working very hard on ensuring that each part of the group contributes to increase the value of ProSiebenSat.1, with the businesses supporting one another. We aim to make our company more synergistic, diversified and profitable, generating sustainable growth in all business areas.  In order to accelerate in achieving this goal, we have been setting up ProSiebenSat.1 in 3 segments as of January 2021: entertainment; dating; and Commerce & Ventures.  On to Slide 15. Why did we do this? The strong connection between Red Arrow Studios and our entertainment business was not reflected in the group structure. To promote efficiency and cooperation, we therefore integrated Red Arrow Studios as well as the digital Studio71 into our entertainment business. The new entertainment segment now covers the entire value chain for this business, from content production to distribution and sales. At the same time, we have business models within the entertainment segment that are not closely linked to entertainment. We decided to take out the investment unit SevenVentures and ProSiebenSat.1 Accelerator as well as online platforms such as wetter.com and to bundle them in our new segment, Commerce & Ventures, together with our NuCom Group companies. We thus unite all forms of investment offerings from seed financing and media for revenue or media for equity deals up to our majority investments under one roof. ParshipMeet Group remains unchanged and forms our dating segment.  With all this being said, let's have a look at how we can better highlight the synergies between our 3 segments in this new structure on Slide 16.  We now have 3 strong pillars and a very synergistic group structure for ProSiebenSat.1 where our businesses support one another. Our strategy is clear. We strive to systematically and synergistically connect Entertainment, Dating and digital consumer brand business to create long-term value. Our dating business fuels our diversification. In this segment, we focus on building an ecosystem of matchmaking, dating and social entertainment, leveraging synergies within the ParshipMeet Group companies, but also with entertainment. With its reach and the advertising space on its platforms, the entertainment business has the power to further raise awareness of the ParshipMeet brands in the German-speaking markets. We also intend to strengthen ties between both segments in order to unlock exciting new synergy potential. For example, by combining the ParshipMeet Group's live video streaming expertise with our entertainment know-how.  Within our entertainment segment, the Seven.One Entertainment Group fully concentrates on its core competencies, producing relevant local live content and distributing it across all relevant platforms, which is the key for an even better monetization. When creating our own content, we benefit from significant synergies with our own production house.  In Commerce & Ventures, we bundle our entire investment options, hence, ProSiebenSat.1 Group's growth businesses, which we promote using our media power. Our strategy also includes an active group-wide portfolio management, meaning value-creating acquisitions as well as possible divestments if a company no longer contributes to our group strategy.  On the following slides, we will dive deeper into the three segments. In our Entertainment segment, we focus on the German-speaking region. By shifting our budget from U.S. content to more local and live content, we are strengthening our position as leading entertainment and infotainment player in Germany, Austria and Switzerland. Our strategic decision to produce our own use in-house for all platforms from 2023 onwards will also support this goal. We see a clear market growth in advertising video on-demand services and the distribution business and are fully concentrated on leveraging this potential in order to stabilize TV ad revenues.  But of course, we are also building up digital capabilities and expanding our online offerings to prepare for the long-term market shift. And speaking of advertising video-on-demand, I'm convinced that advertising-financed offerings will continue to exist next to subscription-based platforms. After all, the key questions are, how many paid streaming services can an average household in Germany afford? And can they really generate a sustainable revenue per user? We at ProSiebenSat.1 believe that ad finance models continue to have their rightful place in the market, which will generate a relevant share of our future revenues. Also crucial for our entertainment business in the long run are our programmatic and targeted advertising solutions.  This leads us to Slide 18. Our entertainment ecosystem in Germany consists of 60 million monthly TV viewers on average and around 11 million unique users on our channel websites and Joyn. We are aiming to further expand this ecosystem, especially digitally, and to monetize it via distribution and innovative advertising solutions. For example, we just recently convinced Apple Music with a creative idea to advertise for the first time around the TV format. As a result, viewers of The Masked Singer can currently also guess via the streaming service which stars hide behind the masks. And despite these times of crisis, we were able to market the current season of Germany's Next Top Model by Heidi Klum more strongly than ever, with 12 top advertising partners.  Another major trend is programmatic and targeted advertising also for the medium TV. This is still a small business today but with very dynamic growth and meaningful market potential. Last year, advertisers, for example, nearly tripled their spending on programmatic addressable TV, i.e., targeted TV advertising, that we play only to viewers with certain interest of socio-demographic characteristics. An important step was the launch of the cross-device bridge in December, which allows our advertising customers for the first time to manage TV and digital advertising campaigns across different devices. The cross-device bridge therefore also is the foundation for effective targeting also on connected smart TVs. We are thus more and more charging TV with digital features in order to combine the strength of TV, its reach, with the advantages of digital advertising.  On Slide 19, let's talk about our dating business and the key priorities for our dating segment in order to realize its long-term growth potential. We are focusing on seamlessly integrating The Parship Group and The Meet Group into a global champion and driving its internationalization. As of January, we already have been testing cross-selling initiatives between Parship and Lovoo and will continue in this direction. As mentioned, we are also evaluating possible cooperations with our entertainment business. Besides TV advertising to increase the German-speaking brands' awareness, we will see how we can connect the 2 businesses with regard to live video streaming opportunities. Overall, the live video component has a very promising growth potential, and we are working on integrating this feature in the different apps as well as monetizing the software as a service to other businesses.  On the next slide, you can see as a recap the entire international portfolio of our ParshipMeet Group. Online dating is a large global growth market. Combining the 2 groups now allows us to offer our customers an even more comprehensive portfolio. An American user, for example, might start out looking for casual encounters on apps such as MeetMe and Tagged before seeking more serious dating prospects on Skout and finally finding a partner for life on eharmony. Singles in Germany can take the same path to love with Lovoo and Parship.  As you know, we are planning an IPO for ParshipMeet Group. It is important to note that after the IPO, we will, of course, continue to benefit from the large synergies and TV focus of the dating business.  In Commerce & Ventures, as you can see on Page #21, we now bundle all of our investment options. The starting point of our value chain in this context is the SevenVentures investment arm, which also includes the ProSiebenSat.1 Accelerator. Here, we support young companies by offering media for revenues or media for equity deals through our TV reach and the advertising inventory of our stations. In addition to these minority participations, the segment also includes our majority stakes in the NuCom Group companies. In those, we build up digital consumer brands from the fields of consumer advice, experiences and beauty and lifestyle into market leaders.  What's next? We will continue to develop our existing portfolio. Once the initial growth steps of one of our investment companies are completed, we review whether we can generate meaningful value for our group and shareholders and if ProSiebenSat.1 is still the best owner for the next development phase. And of course, we will also actively screen the market for new synergistic investment opportunities for this segment.  The next slide gives you an overview of today's Commerce & Ventures portfolio. Our majority investments are divided into the areas of consumer advisers, Verivox, experience with Jochen Schweizer mydays Group as well as the beauty and lifestyle section with company such as Amorelie or Flaconi, all forming our NuCom Group. But also digital platform companies, such as wetter.com and marktguru, are now bundled within this segment. Among our minority investments are, for example, B2C technology players like Friday, ottonova and tink, as well as the online fashion platform, About You. In the past, we have also supported brands like Zalando and Lieferando with our media deals on their path to success.  I hope I have been able to show you the initiatives we are tackling in order to record a successful year 2021. We are well positioned for the financial year ahead and have a solid financial basis underpinned by a clear corporate strategy.  So how does this translate into our targets? Please move with me to Slide 24. As the macroeconomic development in ProSiebenSat.1 Group's core markets remains uncertain also in financial year 2021 due to the ongoing COVID-19 pandemic, the group has decided to provide ranges for its revenue and adjusted EBITDA outlook that takes this environment into account. In line with the government measures in the core markets of Germany, Austria and Switzerland, known by the time the 2020 annual report was prepared on February 25, 2021, the group has taken into account in its outlook adverse effects on the business that are foreseeable as a result of the COVID-19-related restrictions in place at the beginning of 2021. Further restrictions which could additionally impact the ProSiebenSat.1 business are not reflected in this outlook.  Please also consider that our main currency besides the euro remains the U.S. dollar, especially after the acquisition of The Meet Group. We anticipate an U.S. dollar share in group revenues for 2021 of approximately 20% and for adjusted EBITDA of approximately 15%. An average strengthening or weakening of the U.S. dollar in relation to the euro by 0.01 over the entire financial year impacts our revenues by approximately €7 million and adjusted EBITDA by approximately €1 million. For our financial outlook, we use a euro to U.S. dollar exchange ratio of approximately $1.22 to the euro in 2021.  While some of our peers haven't published a financial outlook for 2021, we have decided to provide financial targets, which, on the one hand, reflect our optimism regarding recovery of our businesses, and on the other hand, are also prudent enough to face the challenges which we still have to cope with. But overall, we are very optimistic that the group will return to revenue and earnings growth this year, as the following targets suggest.  In order of group revenues, we are targeting a range of €4.15 billion to €4.35 billion. Based on the currency and portfolio-adjusted group revenues of €4.055 billion for financial year 2020, this equals an organic revenue growth in the range of about 2% to 7%. With regards to adjusted EBITDA, we are targeting a range of €720 million to €780 million, whereby we expect our program costs to amount to around €1 billion, with over half of this relating to local content and with the possible variance in the amount of around €50 million depending on the development of the advertising market. It is worth noting that the lower and the upper end of those ranges assume an advertising revenue development in the German-speaking markets in the range of minus 2% to plus 4%. In all scenarios, we assume that, particularly, the first quarter will be impacted by lockdown-related restrictions and a subsequent fast recovery of the advertising market is to be expected. Should the advertising business improve by more than 4% in the full year 2021, every additional 1 percentage point advertising revenue growth would translate into about €20 million incremental group revenues, and depending on the mix, an almost similar amount of adjusted EBITDA.  While we are in general optimistic about the continuing recovery of the advertising market post the current lockdown, we prefer to draw a conservative picture at this point in time, which we are happy to revise should a more positive scenario, which some of you expect, begin to materialize.  At the same time, we confirm our general financial policy. We generally aim for a leverage ratio in a range between 1.5 to 2.5x. At the end of 2021, we anticipate a leverage ratio at the upper end of the target corridor or slightly above. Of course, we are also confirming our general dividend policy of paying out 50% of adjusted net income to our shareholders. We also continue to strive for our ProSiebenSat.1 return on capital employed midterm financial target. We measure the midterm financial success of our company on the basis of the ProSiebenSat.1's return on capital employed, which is according to our definition without taxes, and which we consider a key figure for the entire group. For the group as a whole, this key figure is expected to exceed 15% in the midterm.  Let's now take a look at this year's dividend proposal on to Slide 25. After suspending the dividend for fiscal year 2019 due to the COVID-19 pandemic, we are very pleased to be able to allow our shareholders to participate again in the adjusted net income and free cash flow generated last year. By taking the achieved adjusted net income of €221 million and the payout ratio of 50% into account, we are proposing to the General Shareholder Meeting on June 1 a dividend of €0.49 per share. This represents a total dividend payout of €111 million. At the end of financial year 2020, this implies a dividend yield of 3.6%.  One year ago, when taking over the role as Chairman of the Executive Board, I said to you and to many people more, this company has far more potential than it is currently attributed to. I hope we could show you today that we have been working hard in 2020 to guide our company safely through this crisis, and at the same time, reveal the huge value-creation potential that ProSiebenSat.1 holds.  First, in 2020, our group proved to be very robust facing the pandemic headwinds, thanks to our diversified portfolio. We expect the company to show the same strength of a fast V-shaped recovery after the current lockdown.  Second, we have a powerful strategy based on 3 strong segments. This is our way forward and will help us to further increase synergies within the group and to foster diversification by our own power.  We believe in TV as a medium, in the dating business as an important growth driver for our group,and in a focused portfolio as a guarantee of success.  Third, we continue to be very focused on growing not only our revenues, but also our earnings. We act results oriented, and we strongly take into account the mid-term financial impact of our strategic initiatives, which we measure with our ProSiebenSat.1's return on capital employed as our key figure. Our market capitalization and share price are already reflecting these efforts.  In all we do, we are making ProSiebenSat.1 more synergistic, diversified and profitable. We took a big strategic step forward in the past year and will continue to do so at a fast pace in order to grow sustainably in all segments, and hopefully soon in a non-pandemic environment.  Thank you very much for your attention. We are now looking forward to your questions.
Operator: [Operator Instructions]. Our first question today comes from Annick Maas from Exane BNP Paribas.
Annick Maas: My first questions are regarding ParshipMeet. Following the successful listing of Bumble, I was wondering what are your thoughts on the location of the potential listing of ParshipMeet?  And then my second question with regards to ParshipMeet is, do you view this Bumble app here as maybe an intention for you to bring your IPO forward?  Then I have another question on Flaconi. There are rumors that this is going to be up for sale soon. Maybe you could give us an indication of a time line and where these proceeds could be used.  And then the last one, just on advertising. If you could comment around what advertisers are saying for advertising around Easter at the moment.
Rainer Beaujean: So let me start with the first question. We've said before that we address the IPO for ParshipMeet beginning of 2022. And we don't want to comment on where it could be or should be, but we don't see a major difference between doing it in the European environment or the U.S. environment because we have seen in the past that those are possibilities and that there is not a huge deviation. And that's at least what also the investment banks are telling us all over.  Second, Flaconi. For sure, we've said last year that especially in the Beauty and Lifestyle segment, we always analyze if we are the best owner for an asset. And let me repeat what I've said at that time. So in that moment, a company needs a further internationalization or the brand is so well established that we as ProSiebenSat.1 are not any more helpful, that's sure the moment where we think about it.  And the rest, I'm not commenting on rumors. We have to see how this will work out.  And advertising, I clearly can say we -- everybody is expecting a similar development in the German market. As we have seen in Q3, we have seen in Q2 last year that directly after the first easing of the lockdown started, we had a V-shaped scenario and we were really getting up pretty fast. And you've seen the success also in the last quarter. This last year, we had revenue growth here of 11% in the quarter, which is great. And it's a similar development we would expect. And if you see, for instance, in our company what is happening in Austria, where they are a little bit farther than we are in Germany, you have seen exactly this development because -- but it's only a small market for us, but it shows that we are not wrong on that. And I know that a lot of people said that our start is conservative.  And let me remind you on that what we have said before. When the upper end of our guidance for the advertising was 4% will be outperformed, we would be very happy. And we also have seen statistics which show 6%. And in that situation, for sure, every percentage point above will stand for approximately €20 million on advertising revenues. And this €20 million then directly falls down to the adjusted EBITDA line.  And what we also know from the discussions with the advertisers, when the shops are open in Germany, we expect a huge rebound of the advertising, as we already said last year. So there is nothing surprising for nobody that we're expecting the first quarter to be weak due to the situation that we, first of all, had a tough comp last year. And on the other side, for sure, we were going into the start of the year with the second lockdown combined with tough prior year figures. And that's the situation we have to address. And therefore, after the discussion in Germany yesterday, where we are now expecting the lockdown up to the 28th of March, we are expecting, by the way, a better development at the end of March because we all know Easter is this year at the 4th of April. And before, we normally should see some of the campaigns also going into Q1, but it is very important how shops are -- if shops are getting opened or not, and that's something we cautiously have to look at. And that's the reason why we have decided to stay in a more conservative situation. And we would be really happy to upgrade that when we see the situation in Germany is stable and we see further developments in the pandemic going into the right direction.
Operator: We now move on to our next question from Nizla Naizer from Deutsche Bank.
Nizla Naizer: Great. I have three questions from my end. Firstly, under the pivot to, I guess, investing in more German content, could you explain a bit more as to what's driving this change in direction? Have you seen your audience share continue to improve with this renewed focus? And you've mentioned that half of your programming spend in 2021 would be on German content. How does this compare to last year?  Secondly, if I could just go back to the Flaconi question. Yes, I mean -- I guess the speculation in the media about it potentially coming up for sale. We've seen €800 million price tag on the business. I just wanted to understand if, hypothetically, you do sell a business of this size, what would you do with the proceeds? Would you consider additional M&A of a large sort of size? And what sort of sectors would you be interested in if inorganic growth would be something you'd want to continue with?  My last question is on ParshipMeet. Now that you've got The Meet Group also in your portfolio, could you remind us how this group compares to your listed peers like Match.com and Bumble in terms of the plethora of things that you offer? Do you feel that you're a more complete offering? Or is there more that you could do to sort of complete it?
Rainer Beaujean: So I start with the last question. I think we are more comparable to Match, but we are in both areas and I think we have the complete picture. And therefore, a ParshipMeet Group is really a very good and strong asset where we have a lot of hope during this year that we really can be very successful.  Flaconi proceeds. Here, we would like to, first of all, reduce further on our net debt. On the other side, we also -- and that's what I've said before, we build up this new segment, Commerce & Ventures, also to screen the market. Whenever we look on targets, they have to be TV related, means we are very interested in building up consumer brands, digital brands, which are really correlating and generating synergies with TV. And we totally believe in that business model, buying in minorities. SevenVentures is our vehicle here, with the Accelerator, with seven Rows, media for equity, media for revenue deals. And then later on, if you figure out that this works out very well, then we are also ready to invest in a majority shareholding of these kind of jobs.  Our German strategy for the entertainment business is very successful. When you see how the audience shares, especially in our local and live content, develops, we feel very positive. We gained market share, by the way. And we said that before, in the last quarter, especially in prime time, we were the only ones gaining market share in ProSiebenSat.1, and that's very relevant for the advertisers. So I think that's the right strategy. It's local life and sports. Another example out of sports, NFL, audience share of more than 50% of the target group, even during night, really successful. And as you know, this year is the year where we are the only one showing the Bundesliga, with 9 games for the season. We have the opening. We have the Super Cup.  So we are consequently going this path. We are above 50% in local and life. And that means -- and last year, so means in 2020, we were below 50% and that's a constant way. By the way, we are not expecting that the U.S. series, as well as especially U.S. content and movies, won't play an important role in our portfolio. So the mix several years ago was 60% U.S. and 40% local and life. And that's the first step to shift it around, so that we will have 40% U.S. and 60% local and life, German speaking, specific content in that region. And that's also the basis for our windowing strategy going on further with Joyn, where we really want to play the difference in that market with AVOD compared to SVoD. For sure, we also have an SVoD layer. But here, clearly, you see that. We always talk about the digital ocean.  We are collecting data. We try to convince advertisers with addressable TV, with programmatic TV, with HbbTV, to get in direct contact with the customers. And here, we have a huge expectation that, as we could see in the past, that this smart and digital piece will grow further on. And we're also expecting that the linear TV is declining, and there should come a time where this has been offset, and that's something where we are working hard on to get it done.
Operator: We now move on to our next question, which comes from Conor O'Shea from Kepler Cheuvreux.
Conor O'Shea: Three questions for me as well. Just first question, just to go back to the Q1, Rainer, if you could. Could you have a little bit -- give us a little bit more detail, a little bit more color in terms of the expected decline at this stage, what you're seeing through to end February? That would be helpful.  Secondly, in terms of -- yes, there was mention on the reconciling items of a one-off benefit from bonus accruals provisions in the Q4. I wonder if, Ralf, you could maybe give us a little bit more detail on that.  And then finally, just on Red Arrow. Q4, back to strong double-digit revenue growth, 14%, but EBITDA is down by 20%. Is that a mix effect, more back to live shooting and building catalog, billing, inventory as opposed to selling catalog? Just if you have any thoughts on that.
Rainer Beaujean: So let me start with the first question. First of all, given the soft start in terms of advertising revenues, we expect the group revenues to decline in the mid-single-digit percentage rate in Q1 2020. And that's mostly based on the current expectation of the overall advertising. Here, we are expecting in the Germany, Austria, Switzerland region, advertising revenues to decline low double-digit percent. Honestly, it is difficult to forecast currently. So my crystal ball is very unclear due to the fact that, currently, the booking is coming in on a weekly basis. And we will have opening in Germany of several shops beginning next week, and we have to see how this will develop. But again, I think for the group, we are comfortable with this mid-single-digit decline in Q1 2020, and we have to take it from there.  Have in mind, especially in Q2, we had last year a huge decline every quarter, every month in the quarter due to the fact that COVID-19 really hurt us there. And that's the quarter where we should then expect a huge recovery. But again, we have to see how the development of the pandemic will develop in Germany. And I think we will see here a clear positive development.  Ralf, you want to do the second one?
Ralf Gierig: Yes. I take the question on reconciliation result. Q4 2019 was impacted by bonus accruals with a different phasing in 2019 compared to 2020. And generally speaking, obviously, the better reconciliation result is also a function of savings we undertook over the past year.
Rainer Beaujean: So let me answer the Red Arrow Studio question. We had a strong performance in revenues, offset by bonus accruals, especially for one of the management teams there, on one side. And on the other side, that was more or less a normal Q4 because Red Arrow was really -- is from a profitability point of view for us, more or less, event-driven business model, so therefore -- and that's the reason why we also put that now into our entertainment business, and that hopefully helps us also to focus on content which we can use in our group. And that's also one of the things which we changed last year in leading this -- the segment because we built up a team out of Wolfgang Link, Henrik Pabst, who is our Chief Content Officer, and myself to make sure that the focus of the Red Arrow Studios gets more into our entertainment piece, and that's the reason, as a next step, to integrate it and to figure out which kind of formats we can use. I give you one example, Married at First Sight, which is a kinetic content, works very well in Germany. It's one part of the shows. And it's one step to really change our portfolio into that direction.
Conor O'Shea: Okay. And just to come back on Ralf's answer. Does that mean then that the full year 2020 level of reconciling items is a good basis for forecasting 2021?
Rainer Beaujean: Yes. That's totally the best estimation you can have. It's €1 million up and down, but I would say, yes.
Operator: We now come to Omar Sheikh from Morgan Stanley for our next question.
Omar Sheikh: I've got three questions as well, please. First of all, Rainer, look, thanks very much for the detailed strategy update. It's very useful to hear your thoughts on the future of the company. But I suppose the one omission from what I could see is just some reference to what you think the trend growth rate could be for the company, either in terms of revenue or EBITDA. So I wonder if you could just give us a little bit of color on what you think the benefits of the new structure and the synergies between the 3 units that you'll be reporting might have on growth. That's the first question.  Secondly, I wanted to just dig into the guide on advertising. I can sort of see where you're coming from at the top end of the range. But I'm not quite sure I understand the bottom end of the range, the minus 2% for German TV advertising that's embedded in your guide. So I wonder if you could just give us a bit of color on what your assumptions are there, whether it's in relation to share of TV or audience share or competition. Just some sort of guidelines there would be helpful.  And then, thirdly, I just want to ask about Joyn actually. Could you give us an update on where we are in terms of usage MAUs? And then perhaps what the investment might be in 2021 or net investment at the associate line might be in 2021.
Rainer Beaujean: So let me start with the last one in Joyn. It's -- it all depends now how we want to play the windowing game. I think that an equity investment for your assumption of around €50 million is something for us -- only for us as a piece because that means both together, Discovery and us, are spending approximately €100 million is a good first guess. Don't get me wrong. It could be up €5 million, it could be down €5 million. It all depends what kind of formats we want to do.  Specifically for Joyn, as I said, we try to increase the windowing strategy in our direction. So that means that we will use content which we have also on Joyn with previews and so on. We will play around with that and figure out what is the best to increase further on the usage. And again, we are very happy with what we have seen in the fourth quarter with the development here.  Guidance range, I totally understand, with a minus 2%, that this is a number which nobody is expecting currently, and we're also not expecting that, honestly. So my point is, I don't want to sit here when the lockdown in Germany goes beyond the expected change at the end of the first quarter that I then have to give out. And I talk and explain that, surprisingly, it's another quarter or something like that. So therefore, this is more or less a really conservative stance.  I also personally believe that -- and I totally hope that we all can go out pretty soon when the weather is better and when the injections are getting stronger and faster into Germany and then everybody gets his shot pretty fast because I believe the interest of everybody is on the same level. So therefore, I also see an outperformance of the plus 4% as a not unreasonable scenario. But again, when you already know that Q1 doesn't look so strong, I have to say that we are building up a range. And in this range, we feel comfortable. But again, I also don't see the minus 2%, what I have, and it has nothing to do with the competitive scenario and so on. As I said, we are perhaps one of the companies a lot of others are orientating them on. And we are doing very successful. So that has nothing to do with competition. I think we are well positioned. We are gaining, especially in the most relevant prime time. We have good stuff to come during the next weeks and months. And especially, the approach on the program with shows and live and all this kind of stuff we'll use and help us to attract advertisers. But that's the most important assumption also for our profitability at the end of the year. And as I said, I start conservative and I'm -- would be very happy at the end of the second quarter when we see the development to upgrade to a higher number. And that's the only reason for that.  Ralf, do you want to answer the first one or...
Ralf Gierig: The trend?
Rainer Beaujean: The trend question.
Ralf Gierig: Trend question, yes. Yes, Omar, thank you for your question. Obviously, we are aiming for profitable growth overall, yes? And clearly, the new setup, the new structure will support this. But it's too premature to give you any quantification of that approach, yes? So let's get through the year, yes, with -- where we have COVID-19. But generally, obviously, what we do is to support our value-creating strategy. And we're expecting every segment to grow, yes? That's what is clear. So we don't think that one of the segments won't grow. This is our current assumption.
Operator: From Barclays, we have Julien Roch with our next question.
Julien Roch: Three questions. Could we have the growth of smart advertising in Q4 2020 on the old basis, i.e., without Studio71? Number one. Number two, total video view time increased 0.5% to 1.081 billion minutes in full year '20. Can you give us a split between linear and on-demand? And then number three, on Joyn, Discovery could leave you to push discovery+ in Germany now that they have a direct-to-consumer SVoD strategy. They've already signed a deal with Vodafone. So have you spoken to them? What do they say? And if you end up with 100% of Joyn, would you be looking for a new partner?
Ralf Gierig: Yes, Julien, I take your first question. I think it was regarding Q4 growth in total advertising, if I understood you correctly. And the growth rate for our total advertising revenues we report in the Entertainment segment was plus 3%.
Julien Roch: No. It was on a small advertising, Ralf. So looking at...
Ralf Gierig: You're looking for the digital and smart, that was a, let's say, low to mid-single-digit percent range.
Dirk Voigtländer: And Julien, this is Dirk speaking, maybe a short comment about the total video view time. You can see in the appendix that our total video view time was up 0.8%, although total daily TV consumption was even up 4.9% for the people 14 years and above. And this, by the way, a function of a slightly lower audience share last year because a lot of the news have been actually aired on the public broadcasting channels, which is nothing we could basically offer to the same extent. However, still, our total video view time was up 0.8% and was also supported by the digital platforms, which have grown on the low double-digit percentage range. And especially, Joyn has seen a nice uplift in terms of usage. However, we are still not breaking out what the share of the digital consumption has been. But you can imagine, I mean you know the split, what digital smart ad revenues have been in the past. It's not quite there yet in terms of usage, which, by the way, also shows that the monetization of the digital platforms is pretty good.
Rainer Beaujean: And let me add to that, what Dirk said. What we have learned with the broadcasters is also something which we have decided last year because, as you have seen in our announcement, we also address to do news in-house, and therefore, because that's also part of local and live strategy as well as a relevant strategy because if you want to be relevant also in building up opinions, then for sure, you also need news. And that's, for us, also a good opportunity to strengthen our face to the customers. And that's the reason why we have decided to do that.  Discovery, for sure, we are good shareholders and -- in building up Joyn. And then I think Joyn is a real success story in building up a product in such a short time. We're always open for new partners. That's what we always did. We offer also RTL Group always the possibility to be part of that, as we do with everybody else. And -- but again, it's -- the public broadcast is up far, everybody's part. That's a good product. Again, we are going a different path than everybody else in the industry because we have decided that we are focusing on the AVOD layer more than the subscription layer. That has to do with our expectation for the German market.  We don't expect Germans to have 5, 8, 10 subscription-based model and everybody is ready to pay easily €5 to €10 for that. So we believe that besides subscription-based models like, I only named 2, Disney and Netflix, especially an AVOD layer is something which is acceptable. And you always have to look on subscriber acquisition cost as well as how you monetize and -- when you are focusing, as we do, to be relevant and different on German-speaking areas, you have a certain amount of customers which you can address. And therefore, we are focusing repositioning in-house Joyn more or less as a distribution channel, as we do with all the others.  So for us, that's clearly the approach. We believe that's a good strategy. And I totally think we are well on track in what we want to reach. And again, Discovery is a good partner. And whatever happens then with Discovery and what they want to do, that's more or less a question which you should ask to them.
Operator: We now move on to Sarah Simon from Berenberg with our next question.
Sarah Simon: I've also got three questions. First one was on Studio71. If we look at the pack in the appendix that you've given the growth in video views, I'm just wondering why you think the growth was so slow, particularly in Q4. Because this is a super dynamic business, but it doesn't seem to be growing that fast. I wonder if there was anything specific you can point to.  Secondly, just back to advertising. Obviously, you've got a structure in Germany which is a bit different from some other markets. Can you talk about what proportion of commitments actually got spent last year, and what the commitments for 2021 look like versus the commitments for 2020? Because I get that you obviously have volatility between the quarters, but advertisers have made a kind of indication. So is the indication they've given you consistent with the minus 2% end of the market or the plus 4%?  And then the final question was on ParshipMeet. You talked about the video software and the white labeling strategy, and Match has bought something which looks a bit similar to that. So I'm just wondering whether that would have any implications for you because I think you sell that to Match now. So if you can just comment on that, that would be helpful.
Rainer Beaujean: For the last point, I can tell you we have a good questioning for the product because it's very specific. And -- but I don't want to comment more on that. This is more or less something which will be discussed when we really would start to market ParshipMeet Group further on. So therefore, I leave it there, but I can tell you that this is a great product. Lots of people are interested in it. And we really like it, and it gives us good opportunity going on further.  Studio71, yes, you can say we were only growing with a mid-single-digit number. But at the end of the day, also the YouTube usage is some or somehow limited. And on top of that, have in mind what we are currently looking at is if there are synergies within the group also to use the influencers in other areas. Our personal opinion is that especially the influencer business is a huge business also going on further in shopping and other areas. So therefore, we are trying currently with ParshipMeet as well as with other e-commerce things, what we can do on that level. And therefore, we think this is a good business, very synergistic. We should do more together with our entertainment areas, and that's the reason why we put Studio71 also together with the Red Arrow Studios in the entertainment segment to generate more synergies. We don't treat it any more as a stand-alone business. We try to see what we can do with it from a synergistic approach, and that's how we want to look at it.  And the second question, advertising. We have, as I said, a very optimistic outlook from several advertisers for the rest of the year because everybody knows he has to do something.  Our guidance is -- but it's more or less based on that nobody currently knows how the development of the pandemic is going on further in Germany. I ruled out in my speech. I also said that directly at the beginning of the Q&A. You know that if the 4% range on top end will be outperformed by 1 percentage point, we should generate €20 million more on sales and €20 million more on EBITDA. And we've seen in the market also recovery of these advertising numbers up market up to 6%. And we also have seen statistics which are higher. We would be happy to look on that. I think we know better at the end of the second quarter because I would like to see first that the lockdown in Germany is really over or in -- on a way that we all feel comfortable that the opening possibilities works out.  And again, I have to address that the lockdown in Germany is extended until March 28, and that's the reason why we have put in that, beyond that, we perhaps will have a clearer and better picture, but I don't want to be too optimistic currently because if I would be too optimistic, people would directly tell me later on, why didn't it work out and so on. And this is such an important assumption for the rest of the year that I have no problems if analysts are more optimistic. But I, as leading this company, keep my costs on the level which are necessary to be conservative.  And then when we see it's getting better, we would directly react to that, and that's the reason why we have given this guidance. And again, above the 4%, everything which gets into the advertising business falls directly down. So this is like we are not increasing then further on our costs. And then it's a mix and other issue. But again, that's how we look on that. And don't get me wrong. I'm not ruling out something, but I believe when you would ask me currently, after I've seen how the things are in Germany, I'm optimistic that we really will see at the end of March clearly a better development, but I'm -- I have to accept that I have to wait up to this point.
Sarah Simon: Yes, I get all that. And it obviously makes sense to keep expectations low. But can you give us an idea for -- because you have the advantage versus some other broadcasters of commitments which are made annually. So can you give us an idea whether the commitments are more bullish than the plus 4%, and you're thinking, well, I'll just stay on the safe side? Or are they less bullish in the plus 4%?
Rainer Beaujean: Yes. We know that the cancellation can come in. We know when the development is there, and we all look on that. But I'm not telling you who is at minus 2% or 0%. It's -- we have several which are even above last year, lots of -- above last year and also above 2019 because lots of advertisers has figured out that, especially TV, especially if you producers like we do it, is something which is very attractive. So -- and we have to look on both sides, linear TV as well as digital and smart. And both together, we are -- I won't give you a precise number here. But by listening to me, you should get the feeling that we are closer to plus 4% than clearly to 0% or a decline. But again, this is changing during the year. And the assumption of everybody currently is that we will have an ease of the lockdown at the end of the first quarter. And if this is the case, for sure, we can be more optimistic. So -- but let's wait and see how this will develop.
Dirk Voigtländer: Okay. Ladies and gentlemen, since our press conference call will soon start, we have, unfortunately, have to stop here in terms of the Q&A session. As always, my colleagues in the IR team and myself will be available for any follow-up questions. Thank you, everybody. Stay safe, and goodbye.
Operator: Thank you. This concludes today's call. Thank you for your participation, ladies and gentlemen. You may now disconnect.